Operator: Welcome to the Avago Technologies Limited First Quarter Fiscal Year 2013 Financial Results Conference Call. At this time, for opening remarks and introductions, I would like to turn the call over to Tom Krause, Vice President of Corporate Development. Please go ahead.
Thomas Krause: Thank you, operator, and good afternoon, everyone. Joining me today are Hock Tan, President and CEO; and Doug Bettinger, Chief Financial Officer of Avago Technologies. After the market closed today, Avago distributed a press release and financial tables describing our financial performance for the first quarter of fiscal year 2013. If you did not receive a copy, you may obtain the information from the Investors section of Avago's website at avagotech.com. This conference call is being webcast live and a recording will be available via telephone playback for 1 week. It will also be archived in the Investors section of our website at avagotech.com. During the prepared comments section of this call, Hock and Doug will be providing details of our first quarter results, background to our Q2 2013 outlook and some commentary regarding the business environment. We will take questions after the end of our prepared comments. In addition to U.S. GAAP reporting, Avago reports certain financial measures on a non-GAAP basis. A reconciliation between GAAP and non-GAAP measures is included in the tables attached to today's press release. Comments made during today's call will primarily refer to our non-GAAP financial results. Please refer to our press release today and our recent filings with the SEC for information on the specific risk factors that could cause our actual results to differ materially from the forward-looking statements made on this call. At this time, I would like to turn the call over to Hock Tan. Hock?
Hock E. Tan: Thank you, Tom. Good afternoon, everyone. We're going to start today by reviewing recent end-market business highlights, and then Doug will provide summary of the first quarter fiscal 2013 financial results. Now revenues for our Q1 fiscal year '13 was $576 million, which was slightly above the midpoint of our guidance. This represented though a decrease of 7% from last quarter, but an increase of 2% from the same quarter a year ago. Excluding legacy consumer, revenue actually declined 5% sequentially but was up 8% year-over-year. Wireless revenue only declined marginally in what would usually be a seasonally weak quarter for us as a result of multiple smartphone ramps with several OEM customers. As we also guided, wired revenue was down due primarily to continuing weakness in carrier routing from service providers. Industrial was also down, below our estimate at the beginning of the quarter, mainly because of weaker distribution resales [ph], coupled with ongoing channel inventory reductions on our site. Let me provide more color on each of our target markets. Starting with wireless. Revenue from wireless during the quarter was essentially in line with our expectations, declining 2% sequentially during Q1, but I do want to highlight that wireless revenue grew 22% year-on-year. Wireless represented 53% of our total revenues in Q1. Normally, our fiscal Q1 is a seasonally weak quarter for wireless. However, several factors contributed to our ability to sustain the healthy revenue level we achieved in fiscal Q4 and continue into this quarter. For one, we had a strong follow on demand from our 2 largest smartphone OEMs, one in North America, the other in Korea. Secondly, several of our other OEM customers launched 4G/LTE smartphone programs in the quarter. In fact, we noticed, for the first time in several quarters, strength from OEMs outside the top 2 from Taiwan, Korea, as well as North America. These results offset somewhat by weakness in China smartphone market due to customer supply constraints of certain components and in addition, we chose to walk away from certain low margin Chinese business. Looking ahead to Q2. As expected, but a quarter earlier than when it occurred last year, we have seen the annual product transition at our largest North American smartphone OEM, which will act as a headwind in the quarter. However, this has been meaningfully offset by continued ramp at our large OEM customer in Korea. In addition, we see compelling demand in the quarter from the 2 OEMs who are both ramping new 4G/LTE smartphone platforms. As a result, for Q2, we expect overall wireless revenue to decline in the high single digits on a percentage basis. While the revenue headwind from our largest OEM may cloud the picture somewhat, I would highlight that the 4G/LTE smartphone launches in Q1 and Q2 that I mentioned and that increasing FBAR content, which is helping support a more favorable wireless product mix. Next, moving onto wired infrastructure target markets. Revenue came in with a 10% sequential decline. Much of enterprise networking during the quarter was flat but after double dip -- double-digit, sorry, growth in Q4, our SerDes ASIC business paused temporarily during Q1, as our major networking OEM began to transition from 10G switching platforms in data centers in preparation, in anticipation of launching next generation 40G systems. Also as we expected during the quarter, fiberoptics [ph] continued to be weak tied to soft carrier routing spending, which impacted all 3 major OEMs that we serve. Looking forward to Q2 though, we believe enterprise network and storage spending has bottomed. We also expect to see carrier routing continuing to be soft and do not see a recovery until the back half of the fiscal year. However, we expect a strong ramp in the next generation 40-gigabit data center switching, as our largest networking OEM rolls out their platform Nexus 6000. Here we have substantial ASIC content, as well as next generation proprietary fiberoptic interconnects. As a result, we expect wired revenues to grow high single-digit sequentially. Let me now discuss our industrial and other target markets. Just to remind you, starting from this quarter, we are now grouping our consumer royalty based revenues [indiscernible] into the industrial market. However, stripping that out and on a comparable basis to Q4 2012, industrial declined 8% sequentially, below our expectations at the beginning of the quarter, even though year-on-year we grew 6%. As most of you know, we recognize revenue on sell in and industrial sales are significantly weighted towards distribution. The weaker-than-expected sales were caused primarily by a sequential decline in the distribution resales -- slight sequential decline, I might add, as well as ongoing inventory contraction in the supply chain. Regionally, we saw China continue to recover and grow at low double digits, but we saw Japan and Europe decline significantly while the U.S. remained virtually flat. Looking forward to Q2, while we believe channel inventory is now rather lean, we do not currently see a sustainable uptick in end demand. In fact, based on a review of our major OEM end customers in industrial, they forecast their revenues to decline an average low-single digits. Now, I know several of our analog peers, component peers out there are forecasting an uptick in the business next quarter. I might note that this time, last year, we saw a similar phenomenon, which we interpreted as an uptick in distribution -- or where we interpreted an uptick in distribution orders as a recovery in end demand and ship products in anticipation. The expected recovery did not materialize and we saw destocking in the supply chain for the rest of the year. I'm focused on not letting that happen again. Given our review of end-market demand, we just don't think any inventory replenishment going on today is sustainable. Therefore, we anticipate revenue in industrial and others will decline slightly, low-single digits, when compared to Q1, consistent with what we believe end market demand dictates. Therefore, in summary in Q2, we expect a major product transition in wireless. Industrial continues to be challenging and pretty much flat, wired infrastructure provides an opportunity for revenue growth, though it's not expected to be enough to offset the other 2 target market declines -- weaknesses, I should say. Hence, we are guiding overall revenue to decline between 2% to 5% in Q2 from Q1. Switching gears for a minute. As you probably saw earlier today, we issued a press release this afternoon announcing our CFO, Doug Bettinger's departure in early March. I do want to take this opportunity to thank Doug for the many contributions he has made to Avago over the last several years, including helping to transition us from a private to a public company. He has been a key part of delivering our financial performance and establishing our relations -- relationships, I'm sorry, with you, the investment community. We are starting a formal search for Doug's replacement. In the meantime, Anthony Maslowski, VP and Corporate Controller, will serve as interim Chief Financial Officer. Mr. Maslowski has been with Avago since 2006. With that, let me now turn the call over to Doug for more detailed review of our first quarter 2013 financials.
Douglas R. Bettinger: Okay. Thanks, Hock. Good afternoon, everyone. Before reviewing the first quarter of fiscal 2013 financial results, I want to remind you today that my comments will focus primarily on our non-GAAP results. Reconciliation of our GAAP and non-GAAP data is included with the earnings release that we issued today and it's also available on our website at avagotech.com. Revenues of $576 million in Q1 represents a decrease of 7% from last quarter and an increase of 2% versus the same quarter a year ago. The sequential decrease was roughly in line with our guidance for the quarter. And as Hock mentioned, revenue from our wired infrastructure target market came in a little bit better than we thought, so that was offset by weaker-than-expected revenue from our industrial target market. And finally, revenue from our wireless target market declined slightly, which was about in line with our expectations. For the last 3 quarters, we've disclosed that Foxcon was a greater than 10% customer and they continued to be one again this quarter. After growing for 3 consecutive quarters, distribution resales paused and declined modestly in Q1, reflecting weaker end-market demand. Distribution inventory continued to contract as we expected at the beginning of the quarter. And as you know, of all of our end markets, the industrial target market is impacted the most significantly by distribution. We obviously saw our industrial market revenues decline to a larger extent from these 2 occurrences. Looking into Q2, we expect resales will be roughly flat and distribution and inventory will likely decline again. Our Q1 gross margin was 50.7%, which was slightly above the midpoint of our guidance. This was driven by a slightly stronger revenue in the wired infrastructure target market. Q1 gross margin declined 40 basis points from last quarter, primarily as a result of end market mix. Turning to operating expenses. R&D expenses in Q1 increased by $11 million to $86 million and SG&A increased by $2 million to $44 million, pushing our OpEx to $130 million or up $13 million sequentially. And you remember from last earnings call, the increase was primarily due to higher variable compensation accruals compared with Q4 and secondarily, to our increased R&D investment. These expenses were in line with our guidance for the quarter. As a percentage of sales, R&D increased to 15% and SG&A increased 1% to 8% of net revenue. Income from operations for the quarter decreased by $37 million sequentially to $162 million, and this represented 28% of net revenue. Compared to the $163 million for Q1 of last year, income from operations decreased by $1 million. We recorded a net gain of $2 million in interest and other. Taxes came in at $1 million for Q1. This was lower than we expected, and it was primarily due to the retroactive reinstatement of R&D tax credits in the United States. Q1 net income of $163 million decreased 16% from the prior quarter and Q1 earnings per diluted share of $0.65 was $0.12 lower than Q4. Compared to Q1 of last year, net income was $7 million higher and for earnings per diluted share, it was $0.03 higher. Earnings are higher versus the prior year primarily due to higher revenues, as well as the lower taxes, which was offset by the higher spending that I described. The sequential decrease in Q1 earnings was primarily attributed to lower revenue and higher operating expenses. Our share-based compensation in Q1 was $18 million. The breakdown of this expense for Q1 includes $2 million in cost of goods sold, $7 million in R&D and $9 million in SG&A. In Q2, we anticipate share-based compensation will again be approximately $18 million. And just to remind you as I always do, the company's definition of non-GAAP net income excludes share-based compensation expense. So now moving to the balance sheet. Our days sales outstanding came in at 46 days. This was down 5 days from the prior quarter. Our inventory ended at $208 million, which was an increase of $14 million from last quarter. And this translated into days on hand of 72 days. Q1 inventory increased primarily because of a last time buy from one of our component suppliers, as well as the ramping of our Fort Collins facility. We ended the quarter with a cash balance of $1.15 billion and we generated $185 million in operational cash flow. We spent $67 million on capital expenditures. This CapEx level was below our guidance for the quarter, mainly because of the timing of equipment delivery. For Q2, we expect CapEx will be in a range of $60 million to $70 million. And I'll remind you, the CapEx spending today is primarily due to the ongoing buildout of incremental FBAR filter capacity in Fort Collins. For the quarter, we repurchased approximately 406,000 shares, which consumed $13 million of cash. And on December 28, 2012, we paid a quarterly cash dividend of $0.17 per ordinary share, which consumed $42 million of cash. This dividend was raised by $0.01 from the prior quarter. And I just point out that since the inception of our dividend program in Q2 of 2011, we've continued to increase this dividend each quarter. And as I mentioned last quarter, we also continue to evaluate potential strategic investments and acquisitions as another way of deploying cash to maximize return to our shareholders. Now let me turn to our non-GAAP guidance for the second quarter of fiscal 2013. This guidance reflects our current assessment of business conditions and we do not intend to update this guidance. Revenue was expected to decline by 2% to 5% from Q1. We expect lower wireless sales to one of our large customers will be partially offset by a return to sequential growth in wired infrastructure. Gross margin is expected to be approximately 50.75%, plus or minus 1 percentage point. Operating expenses are estimated to again be approximately $130 million. I'm forecasting interest in other to be a gain of $1 million. Taxes are forecasted to be approximately $6 million. And finally, the diluted share count forecast is for 254 million shares. And just to remind you, starting with this quarter, we stopped reporting the consumer and computer peripherals target market as a standalone market. We've combined the remaining revenues from that market, given the small size of the remaining IP royalty revenue into the industrial target market. And we're calling this new market, simply, industrial and other. That combined target market declined 14% sequentially in Q1. And as Hock mentioned, had we been reporting only the former industrial target market, the decline would have been less at 8%. And finally, you heard from Hock that I'm moving on to another opportunity. I'd like to pause and take the opportunity to thank the Avago management team, the board and especially my finance and administration team for the support over the last 4.5 years. I'd also like to assure our investors that Avago remains in the hands of very capable finance and management teams. That concludes my prepared remarks. Operator, please go ahead and open up the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Ross Seymore from Deutsche Bank.
Ross Seymore - Deutsche Bank AG, Research Division: Well, I guess, first of all, Doug, sorry to see you go but congrats on the new gig. Moving beyond that, onto the wireless side of things, Hock, you mentioned that the product transition is happening 1 quarter earlier than it did a year ago. Is it safe to take away from that, that you believe that is just a 1-quarter product transition?
Hock E. Tan: We believe so, yes, from all indications we are seeing. Yes.
Ross Seymore - Deutsche Bank AG, Research Division: And then I guess sticking in the wireless side of things. One of your pretty active partners recently on the base end side just announced that they're going to enter into the RF market. Can you walk us through what you think those implications may or may not be for Avago?
Hock E. Tan: Well, I guess the most of this one, Ross, is as we've always said, we're in the wireless business as we are in many of the other end markets we are in. Not as a mass-market supplier of standard commoditized components, but rather of specialized high-performance components, which typically ends up in relatively niche market applications in those areas we target. And no different in wireless. And here, our area of focus has always been, as we indicated, filters and duplexes. The FBAR duplexes that we are proprietary technology over. To the extent we sell power amplifiers, we sell it to facilitate our sale of duplexes. And either as a front-end modules, sell them on discrete basis. But really to push either FBARs as a package deal or, as I mentioned, paths or front-end modules. That announcement by one of this out, a very important partner for Avago on this product called RF 360 is largely a multiband, even multimode power -- largely power amplifier gain. It doesn't have filters, it doesn't have duplexes and we don't believe it would have given the unusual nature of filters and duplexes. So far from our point of view, Avago, it's not something we view obviously as intersecting or conflicting with the model we have. In fact, if anything else, we continue to see an interesting evolution of the wireless market and now particularly in the RF market given that the content in RF, be it power amplifier, switches or more so, duplexes, are exponentially increasing with the complexity of bands that comes on 4G/LTE implementations. So we do not see it having any major -- any significant impact on us. I don't know, and definitely not on our business model.
Operator: Your next question comes from the line of Jim Schneider from Goldman Sachs.
James Schneider - Goldman Sachs Group Inc., Research Division: Good luck, Doug, on your future endeavors. Just wanted to ask a question on the networking side, if I could. You talked about the increase next quarter being driven by some new products that your OEM customers are ramping. But with respect to the overall level of spending by enterprises or those markets that you serve, can you talk about what your customers are telling you in terms of any extra visibility, either for the next quarter or for the rest of the year, in terms of recovery in that spending level?
Hock E. Tan: Well, what I can tell you, Jim, is, which is the kind of input we get from our customers tends to be 3 months at a time. I don't think they have a very good visibility beyond that now, even if they do tell us, it doesn't necessarily mean that's what they will stick to or have any clear indication what it is. But what we do see for the rest of this quarter in our view is, as I mentioned in my prepared remarks, spending in enterprise, be it networking or storage, is flat, very flat by and large. While we are obviously guiding significant and meaningful step up in our shipment -- in our revenues, in wired infrastructure is largely driven, as I mentioned, via a product launch. In a way, a product launch and the decline in 10G and data center switching towards 40G -- the new generation of 40G data center switching. And then increased content -- substantially increased content we have in this new product launch. That's what's driving it. So other than that, no, I think much less you said it. Things are kind of flat at least for the next 3 months. Beyond that, I don't know. We do expect, I might add, that in carrier routing, especially building out back hauls in 4G/LTE networks, be it particularly in China, we do -- and even in the U.S., we do expect an increase in the levels of such spending. We have not seen -- we have seen spending trough, I should say, since over 6, 9 months ago. And -- but we also believe that it's time point to slowly step up. We start to see signs of that in China with China mobile, China telecoms. But I expect that build out to start coming in, in the second half of our fiscal year.
James Schneider - Goldman Sachs Group Inc., Research Division: That's helpful color. And then as a follow-up, if you looked at the industrial market, Hock, I think you talked about the fact that you don't want to kind of the expectation for the same kind of head fake recovery that we saw last year, which is understandable. But if you kind of -- can you maybe just give us more color on your thinking there, both in terms of the linearity to orders in the industrial and the distribution that you saw throughout the quarter, what you're seeing right now? And then what would give you a little bit more confidence that either restocking or end demand was more sustainable?
Hock E. Tan: Well, it's a tough question to answer. All we do see is, it's -- and there's a lot of some volatility, not a huge amount of volatility, but there's some -- there is definitely a certain amount of volatility in demand, in end demand as on -- as you run through each quarter and from quarter-to-quarter. And we do see that even on the resale side. Even though we recognize revenue on shipping, as I mentioned. But region wise, as I mentioned, we do see, on average, daily uptick in demand in China. However, what we unfortunately see on the other side of the picture is Europe and Japan is somewhat declining in that -- in those areas. And U.S., if there's a recovery, it is very slight. And as -- I won't use of word sustainable, maybe. But what we often see is there's a spike and it goes away. It's almost a specific applications, specific customers, specific programs might create a spike only to end, and something else created. But then so you -- you are seeing some level of volatility. And so when we mention all the things considered, all -- taking it all together, it's not the kind of uptick in demand that we saw after the downturn of 2009 that ran all the way to 2010. You had seen nothing like that at all. And maybe I am being conservative. But after, as you put it, the head fake of 2012, beginning of 2012, we're very careful about looking at this market in terms of claiming sustained bottom or sustained recovery after that.
Operator: Your next question comes from the line of Vivek Arya from Bank of America Merrill Lynch.
Vivek Arya - BofA Merrill Lynch, Research Division: Good luck, Doug, from my side also.
Douglas R. Bettinger: Thank you, Vivek.
Vivek Arya - BofA Merrill Lynch, Research Division: So first question, Hock, can you give us a sense, I think you did explain in your prepared remarks, but why is there that difference between the industrial pickup seen by some of your peers versus the trends that you are seeing? And is this something that can be resolved by making more acquisitions, expanding the breadth of your product line? Like how -- when should we start to see your industrial sales get more in line with what your peers are seeing?
Hock E. Tan: That's -- it's almost the same question of how many times I've beaten my wife. I don't know, I can only tell you what we saw and we have a pretty broad industrial product line. It's not that narrow, Vivek. We don't -- we not only do isolation, optical isolation, for inverters, server models [ph] and factory automations. We do motion encoders for all kinds of application, for all motor applications. We do industrial fiber for not only galvanic isolation but also across the board for, basically, factory controls and automation. And we do base LEDs that goes across a full range of industrial signage and indicator lights. I hate to say it, but we have a pretty full range of product that enters into a lot of end markets in industrial. And we know to track them very closely. And what I'll say, is we do not see industrial necessarily as collapsing. We see it as relatively, all things considered, flat. Why our revenue is not flat is because we have continued to destock at our distributors. And so since we recognize revenues from shipping, we see that the decline. But resale is not necessarily collapsing, but it's not recovering either. So the question is, is that strong sustained demand? I don't know. I mean, depends on the line -- if you have bookings out for the next 6 months that are firm, maybe you can make an indication on bookings for the next 3 months. I will tell you this, we have bookings but it doesn't show a positive uptrend on the nature we saw in the recovery in 2010 or that lead to part of 2009, when there was a clear recovery from an industrial downturn.
Vivek Arya - BofA Merrill Lynch, Research Division: Got it. And as a follow-up, Hock, at your Analyst Day, you gave some very interesting information about FBAR and the expanding TAM for that capability. Outside of your largest customer, can you give us a sense for what kind of FBAR filter attach rate that you're seeing with smartphones today? Are you seeing new customers come in to adopt that capability? Because what I'm trying to get to is you are installing a lot of FBAR capacity, almost quadrupling over the last -- from, say, 2011 onwards. What does that imply in terms of how many FBAR filters we should see in a given smartphone for you to adequately utilize that capacity?
Hock E. Tan: Okay. Well, to answer your question, the simplest way to answer it is, I think, is a simple fact that we've indicated during Analyst Day. And you may recall that, Vivek, which was 3, 5 years ago, we would say that 2 bands. As you know, the spectrum for wireless communication is divided into bands. And there are bands in 2G, there are more bands in UMTS. And they're even more bands in 4G/LTE. And 3, 5 years ago, probably I would say 2, 3 bands would use FBAR on a regular sustained basis. Today, I would say that we probably have sockets that covers around 10 bands roughly, maybe even more. And so you can see the fairly significant or substantial increase -- and, of course, there are more phones being used out there but there are also more bands being used out there. But what's even more interesting as we pointed out, again and again, is there are those -- it's the same amount of space we have out there in terms of ether for carrying those microwaves. But the bands are multiplying very rapidly. Each band requires its own different modulation schemes. And so they are basically starting to interfere with each other, which increases the requirement for a much better filter or duplexer than has been required in the past, where we're running 2G with much less bands. So to put in a nutshell, you can see the increase in the requirements for much better filtering out there. We see that in many OEM customers, especially as they launch 4G handsets. And as they start using bands that start to interfere or squeeze into existing, I guess, spectrum. One clear example of that is WiFi, WiMAX. The WiFi, WiMAX spectrum frequency is squeezed by a couple of frequencies for cellular bands used in China, used in Europe. And what we're seeing is a lot of demand for smartphones that need to operate and roam in China, as well as in Europe. And I'm talking specifically on those bands. So to answer your question more particularly, the reason we are building more and more capacity is simply because we have designs, we have won designs, we have requirements from customers on designs that we are winning requiring us to put in -- to be able to supply more of those FBAR filters out there. And frankly, we're trying to expand as fast as we can to meet the time frame for which those demands are coming in.
Operator: We have Romit Shah back on the line from Nomura.
Romit J. Shah - Nomura Securities Co. Ltd., Research Division: The wireless guidance for next quarter looks pretty much in line with other companies that have a similar mix of use, so no surprise there. I had a question though on design wins. Hock, if you look at your largest volume opportunities in North America and Korea, do you have visibility at this point in the design wins that would theoretically go into production this year?
Hock E. Tan: Yes, we do. Great visibility, I might add.
Romit J. Shah - Nomura Securities Co. Ltd., Research Division: And how -- I guess, we know RF is a very competitive space. We'd love to hear just how you feel overall about the pipeline.
Hock E. Tan: Okay. We feel actually very, very good about that about -- in both situations. We feel very good about our design win pipeline with those 2 large OEM customers.
Romit J. Shah - Nomura Securities Co. Ltd., Research Division: And can you talk a little bit about pricing? I'm guessing that your content is increasing, but curious just on the like-for-like basis, is the pricing environment relatively benign or are you seeing a little bit more pressure this year?
Hock E. Tan: In handset RF business, in general, as a statement, Romit, you know as well as I do, the pricing environment for RF components, which is a huge market, huge TAM with few buyers, relatively speaking, is an extremely competitive environment. I mean, is extremely competitive. And interesting enough, as I say, within the context of our business model, which is to basically go in and charge price premium, we participate in this market because we have been, and we believe we continue to be able to develop and sell particular components, in this case, filters or filter combined power amplifiers, that provides much higher performance, unique performance characteristics over our competition. And that's how we've -- we compete and we can still compete very effectively. But outside of that, yes, we face a very competitive environment and we have always faced them. Romit, it hasn't really changed dramatically.
Romit J. Shah - Nomura Securities Co. Ltd., Research Division: Okay. I just want to say, Doug, thanks for all your help over the years and wish you all the best.
Douglas R. Bettinger: Thanks, Romit, I appreciate that.
Operator: Your next question comes from the line of Christopher Danely from JPMorgan.
Christopher B. Danely - JP Morgan Chase & Co, Research Division: I guess if we look after this quarter, after all that transitions, Hock, do you expect your wireless business to be back growing in line with seasonality? And maybe you could also comment on the rest -- or how you expect the rest of your end markets to trend after this quarter?
Hock E. Tan: Well, we generally don't give you guys guidance beyond 1 quarter, largely because we could be wrong. We don't want to give you that kind of impact because of the nature of the business. But broadly, we can look back at events and probably see themselves repeating. And the product transition, 1 interesting question that was asked of me earlier on in this Q&A session, that we see occurring this quarter, Q2, occurred in Q3 last year. And if you look at context of what happened after Q3 last year, you see the launch of the -- and the ramp of the new generation products, which ramped very nicely, very strongly. And we showed -- we presented a very strong set of results for wireless business in Q3 and Q1 and the 2 quarters following their product transition. We do not see any reason why there is not a similar pattern or trend for this year as well, which is after transitioning Q2, we do not see why Q3 and Q4 would not follow the trend of what happened last fiscal year. And that's for wireless. In the case of wired to hover back [ph] and indicate, again, this is not a forecast but I'm just, in a sense, amplifying on the comments I made to earlier questions, which is simply that we see carrier routing to probably start to improve in the back half of the fiscal year. As I mentioned, we started to -- we have started to see some signs of that happening, especially in China back haul LTE spending as it is. We probably start to see some of that in North America as well in the back half if the carriers launch their forecast CapEx plans on -- more bandwidth and more routing. And we see some of the new programs coming in data center spending. We see a lot of interest build outs of large-scale data centers, which, because of its scale, will require launch of new programs, new platforms in data center switching, which we are very well embedded with our ASICs and proprietary fiber. So I like to see that opportunity -- I probably like to see that opportunity happen in the back half or later part of the fiscal '13. In industrial, I've no basis to one way or the other to tell you where things will hit, other than to say that China is continuing to recover, offsetting it seems to be a weakness in a couple other regions. And they both -- they kind of washout. We kind of seen -- or will likely see close at hand and probably no reason to see otherwise a flat industrial as we progress through the rest of the fiscal year. But again, this is just a guess. This is not a forecast.
Christopher B. Danely - JP Morgan Chase & Co, Research Division: That's perfect and then for my follow-up, just a quick clarification. So when you give -- when you look at your assessment of the overall semiconductor market and you talked about the comparisons to last year and clearly, it's nothing like 2009. Is there anything out there that gives you confidence that it's going to be any different than last year, i.e., a head fake? Are you seeing like anything that makes you a little more encouraged or it's just too early, to cloudy out there to tell.
Hock E. Tan: You're talking specifically industrial, right?
Christopher B. Danely - JP Morgan Chase & Co, Research Division: No, no, just the overall semi market.
Douglas R. Bettinger: It's hard to break it apart for us, Chris. I mean, we really do think about in 3 discrete end markets.
Christopher B. Danely - JP Morgan Chase & Co, Research Division: Then feel free to comment on industrial then that would be great.
Hock E. Tan: Well, industrial, as I've indicated to you guys, sitting here right now, I mean, we see increased demand, doesn't mean we believe it. We still believe it's a bit of a head fake. We could be wrong. We are playing in the side of conservatism now and basically saying things will be kind of flattish.
Operator: Your next question comes from the line of Ian Ing from Lazard Capital.
Ian Ing - Lazard Capital Markets LLC, Research Division: First, Doug, best wishes on your transition.
Douglas R. Bettinger: Thank you, Ian.
Ian Ing - Lazard Capital Markets LLC, Research Division: So for the China market, you talked about some weakness in the smartphones there and some customer supply constraints. So quarter-to-date, is that still the case after Chinese New Year? And where's your exposure in China? Is it flagship, is it low-ends? There was a big TD supplier this morning that's sounded okay, I thought.
Hock E. Tan: Well, our market in China is largely simply twofold. One is we do the high-end smartphones, as you would have guessed. And be they in China and some of it exports but a lot of in China, like [indiscernible] and among others. And then we also do -- because of historical requirements on CDMA for FBAR, we do CDMA, as well as PCS kind of opportunities. Outside of that, which is a lot of UMTS 3G business and obviously, 2G business, we do very little.
Ian Ing - Lazard Capital Markets LLC, Research Division: Okay. And also you talked about some broader success at handset OEMs, not just to your largest places like Taiwan, Korea, North America. Are component lead times now sort of the same in wireless or is there some more stretching out of lead times in front of major ramps? And if so, by how many weeks?
Hock E. Tan: Okay. Well, in this season of -- well, in this time of relative weakness and seasonality, which is this first part of the calendar year, lead times are pretty -- are relatively short. I would say lead times are about 4 to 6 weeks in that range, it may have pulled in slightly from what was pre-Christmas. But it's not -- there's no shortage of parts at this point, let's put it is this way.
Ian Ing - Lazard Capital Markets LLC, Research Division: So there's no handset OEMs asking for 8-week lead times in front of major ramps?
Hock E. Tan: There are. There always are. But it's unusual and it's a spike that will go away very fast.
Operator: Your next question comes from the line of Steven Chin from UBS.
Steven Chin - UBS Investment Bank, Research Division: First one is since you have FBAR filter products. I guess a new technology that's coming down the pipeline for 4G and also for more advanced HSPA+ advance is carrier aggregation. I was wondering if carrier aggregation as that feature starts to make it into 4G and maybe in 3G handsets, does that represent any incremental demand for your FBAR technology? And secondly, is that also something that's a higher performing soft filters that kind of address that as well?
Hock E. Tan: I'll take that in 2 parts. Carrier aggregation has been talked about a lot and will likely happen. We haven't seen much of that happening yet. And we are obviously very hopeful it will add more requirements in terms of performance required -- demanded of the component, the RF components and we're pretty sure we do need higher performance. Whether this will be translated into higher demand and revenue for FBAR products, we will see. We don't have -- we have not experienced that uptick yet. But that's probably because carrier aggregation is still a dot in the eye of many of us. But it will probably happen. It will happen sooner or later. And we are hopeful that it has -- it will drive -- it will be a good tailwind to demand for high-performance FBAR products. And will soft filters do it? Yes, some of it depending on the bands. Again, it's a very complex answer to answer. Some soft filters will work on part of it. But on an overall basis, the need for high-performance FBAR will increase.
Steven Chin - UBS Investment Bank, Research Division: Okay. And the -- I have a question with regards to the networking ASIC products. I was wondering if you could offer a little historic perspective on what the typical lead times are for your networking ASICs. And also as your networking customers ramp new platforms, what the -- how long the products, which typically ramp [indiscernible] before it reaches a more normalized run rate?
Hock E. Tan: Yes. Let's take the second and final question first. Very, very slow in typical enterprise manner. They'll launch a program and it will take a while for that program to gear up to speed. Some of these programs have launched 6 months ago and we are starting to see real activity now. And that's part of what we're experiencing here and you'll probably see some of that out in the marketplace. It's a long lead time kind of business and usually. It's usually a big ramp followed by -- and that may last for 2 quarters followed by a slight rollover and then it stabilizes and starts -- increasing over time as it replace existing generation system. That's typically the cycle that it follows. No different, I believe, in what we are seeing now. With 40G data center switching platforms that's coming into play, which a lot of this big data center build-out guys are very, very interested in buying. And in terms of the ASIC that goes in those products, as many of our product, like typical enterprise products, our cycle here is 18 weeks, typically, 1-8. Very complex, very, very difficult products to build, not to mention, design. Manufacturing cycle time can run from 15 to 20 weeks. So I'm giving you a midpoint of about 18 weeks. So we get backlog in place in a fairly extended timeframe.
Steven Chin - UBS Investment Bank, Research Division: Perfect. Thanks for the color, Hock. And I want to wish Doug the best of luck on his next endeavor.
Douglas R. Bettinger: Thanks.
Operator: We have Mr. Mark Lipacis back on the line.
Mark Lipacis - Jefferies & Company, Inc., Research Division: Doug, first of all, thanks a lot for all the help over the last several years and best wishes to you. Two questions. One, what is the growth -- the guidance at the midpoint, what does that assume growth of the core business, excluding the legacy consumer business?
Douglas R. Bettinger: Right now, on a sequential basis, Mark, that business is running pretty flat, call it $4 million, $5 million a quarter, so it's pretty flat. So what you see, the down $2 million to $5 million, is pretty much the core business.
Mark Lipacis - Jefferies & Company, Inc., Research Division: How about on year-over-year basis?
Douglas R. Bettinger: Yes. A year ago, and you can see this in our filings from a year ago. I think Q2, the consumer business was about $30 million and now it's down to $5 million, so you can do the math on that.
Mark Lipacis - Jefferies & Company, Inc., Research Division: Okay. Great. And the quadrupling of the FBAR capacity, what does -- is there an implication on the gross margins that we should be thinking about as we look at the model out as you guys execute on that?
Douglas R. Bettinger: FBAR gross margin, Mark, by and large is better gross margin product. So more important than I think you're asking kind of about fab utilization question, but that kind of a tactical quarter-by-quarter. We believe in the future, we will be shipping a greater percentage of FBAR in terms of the total mix of wireless and that's good for margin.
Mark Lipacis - Jefferies & Company, Inc., Research Division: Okay. And I understand about the fab utilization. But I mean, is the idea here that you're going to build a bunch of capacity and just hope to fill it up. Or do you kind of boot strap it up as you go along and I guess my view is that, the FBAR capacity would be fairly full as you're adding capacity? But, please, correct me if I'm wrong.
Douglas R. Bettinger: Yes, that's our expectation. When you run fabs, you kind of like to run them around 80% utilization on average, and you never get it perfect. And we'll have quarters where we're running over 100%. And we may be building a little inventory for a ramp in the back half of the year, that's kind of typical. You saw us do that last year, you may see us do it again. But on average, to run fab and manage your resources properly, 80% is kind of where you want to be. And hopefully, that's how we're going to manage Fort Collins.
Operator: Your next question comes from the line of Doug Freedman from RBC Capital Markets.
Doug Freedman - RBC Capital Markets, LLC, Research Division: I'll echo the best of luck, Doug, on your future endeavors.
Douglas R. Bettinger: Thanks, Doug.
Doug Freedman - RBC Capital Markets, LLC, Research Division: If I could dig in a little bit on FBAR and a comment that was made, Hock, where you said you had passed on some business that was available to you in China because it was unattractive. Is there anything that you guys can do to drive down your cost structure, thus, opening up the market opportunity for you to some of that China content?
Hock E. Tan: Oh, well, we keep doing that. By the way, our FBAR unit cost keeps going down as we progress every year. And as we scale up in capacity, that drives it down even more. But more than that, we go into new processes. Every year, we have a new generation of FBAR process that enables us to shrink the die, to make it much more competitive. And we need to do it simply because, I mean, the demand we are seeing and we are anticipating will -- is fairly significant -- substantial versus the capacity even we are putting in place. And as I'm sure you all know, we don't build the capacity with the hope of demand showing up at the front door. We have a pretty clear line of sight of what we're earmarking this increased capacity for and we're building towards that. So -- and we have plenty of demands for those products that we make on those things. But when -- we talked about lower margins and all that is, as I mentioned many times before and is particularly true in 3G UMTS, we sell FBAR, we also sell power amplifiers that goes hand in hand. Either in the front end modules or sometimes in a bundle. And so the power amplifier does dilute our FBAR margin, no surprise, as you can see there. And where we don't feel that, that dilution is warranted is when we walked away from the business.
Doug Freedman - RBC Capital Markets, LLC, Research Division: Great. You also mentioned that clearly we're going through a product transition at one of your larger customers. Can you comment on the content or the volume that you expect to see when that business ramps back up? Are you guys going to secure the same content per unit? Or is there an expectation that we might actually see greater units in the next generation?
Douglas R. Bettinger: Yes, Doug, we can't comment on that. That stuff is too confidential. We're confident in the back half revenue, I think, is all we're going to say.
Doug Freedman - RBC Capital Markets, LLC, Research Division: All right. Could I try one last one then with you. On the channel inventories that you are working down, assuming you hold or that industrial stays relatively flat, Hock, as you defined it, will you be comfortable with the inventory level exiting this quarter?
Hock E. Tan: Yes, we will be.
Doug Freedman - RBC Capital Markets, LLC, Research Division: So from thereon we take an expectation of what the market does and hope to see that reflected in your revenues?
Hock E. Tan: We anticipate doing that, yes.
Operator: Your next question comes from the line of Mike Walkley from Canaccord Genuity.
Siddharth Sinha: This is Sid on for Mike. Just a housekeeping question. Doug, you talked about quadrupling your FBAR capacity and basically doubling it to about some time right now from 2011. Firstly, has that doubling been done? And second, you said that the subsequent doubling will be based on demand. So is it fair to say that obviously you're seeing the demand and there will be that subsequent doubling?
Douglas R. Bettinger: We have no change in plans based on what we previously told you.
Operator: All right. Ladies and gentlemen, that concludes the Q&A portion. I would now like to turn the conference back over to Mr. Tom Krause for closing remarks.
Thomas Krause: Thank you, operator. Before we close, I would like to remind everyone that Avago will be presenting and meeting with investors at the Morgan Stanley Technology, Media & Telecom Conference in San Francisco this week on February 28, and we'll be meeting with investors at the UBS Trends in Wireless Conference in New York on March 6. Thank you for participating in today's call. We look forward to talking with you again when we report our second quarter fiscal year '13 financial results in May 2013. Thank you, operator.
Operator: Thank you. Ladies and gentlemen, that concludes Avago's conference call. You may now disconnect. Have a great day.